Jose Manuel Entrecanales: Good morning and welcome to the presentation of Acciona Energias First Half 2023 results. I will make a brief introduction with a few points, I'd like to highlight and then pass on the floor to my colleagues; Rafael Mateo, CEO and Arantza Ezpeleta, CFSO. I believe Acciona Energias is now a better company than when we did the IPO two years ago. Higher value, larger scale, more profitable, better and more pipeline and on the right track to prove our capacity to execute the 2 gigawatts a year of new capacity target. All in all, as I say a better company then two years ago. Our investment activity is accelerating rapidly with 2.2 gigawatts under construction and 1 gigawatt of secured projects that will enter into construction the next 12 months. So we're on track to deliver 1.8 gigawatt of install capacity by the end of 2023. I am very confident than we can at least install the same amount in 2024. From then on, we believe that we have the means, the pipeline, the balance sheet capacity, the supply change, the manpower and the knowhow to continue installing north of 2 gigawatts a year in the foreseeable future. 2023 is the year when we prove our capacity to add new profitable megawatts at the pace announced at the IPO, which I expect will ease the negative market sentiment that has been holding the share price back over the last six to nine months. Of course, there are other renewable sector-wide investor concern. Inflation, interest rates, CapEx costs supply change, de-globalization policies, or network congestion, are undoubtedly challenges to be considered. In our case, we believe we have all those challenges sufficiently under control. Undoubtedly, we have experienced some delays in achieving our growth targets, but '22 was a very unusual year, with all the above-mentioned problems in their epitome. The war in Ukraine, total disruption in the global supply change, anti-circumvention chaos in the US PV market, regulatory instability, the PGM connection collapse, markets getting acquainted with inflation, and interest rates hikes, all in an environment of unusually high energy prices that we also, as temporary, thus somewhat making us a big teams of our own success, as the levels of profitability would be very hard to match in future years. The ultimate change in the power price methodology for the current regulatory period in Spain has added to widen the delta relative to last year. But let me try to send a message of calm and predictability. In my view, the long-term outlook for the industry remains very bright. First, megatrends; the fight against climate change is more urgent than ever. There is an ever-growing number of countries committed to take measures. Social awareness is higher than ever, and we have the technologies available to transform the model. Also, energy independence has become a key strategic aim in many countries, as the war in Ukraine has made it -- has proved unnecessary. All of this is leading to unprecedented policy support, privileged access to finance, economic incentives to develop the less mature technologies in the context of strong electrification of the global economy. We believe supply chain problems are pretty much over and notwithstanding capital CapEx and financing costs. Returns remain healthy as energy prices have settled significantly above pre-COVID levels. We are delivering profit above market and our initial expectations, market expectations, and our own initial expectations, in the older of €600 million more EBITDA in the period '22, '23, and enjoyed exceptional rosy in the last two years, return on capital employed. With respect to capacity additions and commercial activity, we will be adding three gigawatts of total capacity since the IPO by the end of the year, and that's two years ago, and signed around eight terawatt hours of PPAs in the last -- in that same period. In terms of our 20 gigawatt target by 2025, one that we announced at the IPO, we are approximately one year behind, but our projects are still here with significant new additions to our pipeline, and we will deliver in 2023 more than three times what was on our business as usual, annual growth in the IPO before the IPO. We believe we will be able to maintain and increase a similar pace of growth in coming years while being very selective and disciplined in terms of risk returns and our balance sheet. We have invested €3 billion since the IPO on our net debt €2 billion, and this is the IPO and our net debt has only increased by 1.1 since. It is, I believe, too harsh from the market to attribute negative value to this. And in terms of paving the way for future growth, we have selectively opened new markets in Southeast Asia and Latin America and strengthen our presence in our core Australian, European and North American markets, which as you no doubt are aware are poised for tremendous growth. We are also positioning ourselves in additional emerging technologies, such as batteries, hydrogen or floating. And of course we are preserving our investment-grade credit rating and our balance sheet strength, which in the current volatile world it is a very important competitive advantage. As for ESG, we have obtained ratings systematically at the top of the rankings. And I dare say we are a sector benchmark. We work to ensure long-term economic, social and environmental sustainability, always sticking to our core values while also strive to maximize our short-term delivery. At the second anniversary of the IPO of Acciona Energias, I reiterate, I firmly believe that the company has made great progress since that date, since the listing and the general market environment is looking as good, if not better than two years ago. As you see, I am optimistic despite a significant disconnect between the reality of the company and what seems to be the market perception judging by the stock price. I'm confident the market will soon recognize the progress made in the last couple of years and in the exciting future that lies ahead of us in Acciona Energias and the rest of the group, sustainable infrastructure business. Thank you very much. Rafael, the floor is yours.
Rafael Mateo Alcala:
e: In 2023, we are seeing the benefit of the balanced hedging and contracting we did last year, looking in very rich short-term prices for 2023, more than EUR 160 per megawatt hour, and also securing significant long-term PPAs at very attractive prices backed by our existing Spanish generation fleet, both the short-term hedges and the long-term PPAs with much better prices than we expected in our IPO plans. The output remains below long-term average especially because the poor global resources mainly in hydro. We increased our stake in Renault Mar in a Spanish wind company where we have owned historically 50% with our partners. The company owns 494 megawatts and its average production is 1.1 terawatt hour. This is not a big acquisition. It's basically normal course of our business, a very natural thing for us to do as this asset that we developed in the past and we are operating since the start now we are pleased to take the opportunity to increase our stake to 75% in this high-quality portfolio of wind assets as one of our partners decide to exit. We have paid just under EUR 120 million for the 25% of the stake, and Reynomar had significant net cash position, implying that we are able to trade below EUR 0.9 million per megawatt with a fantastic asset base. The transaction is generating a significant capital gain in the year that is helping to compensate at the bottom line the operating results. In the next few slides, I want to focus on our construction plan for the current year and also for the increase in visibility for 2024 and 2025. I will also provide you with our update financial expectation for the current year 2023. Starting with the construction plan 2023. As you know, our commitment is to install approximately 1.8 gigawatts of new capacity in the year, which is very concentrated in 2 geographies: North America and Australia, with ongoing U.S. solar projects such as Fort Bend, Union, HighPoint, Red Tailed Hawk and our largest project under construction, the MacIntyre wind farm in Queensland, Australia. We are broadly on schedule with a busy second half of the year, but on a schedule. During the past 6 months, we completed the installation of 442 megawatts, and our construction schedule is back end-loaded, planning 650 to 700 megawatts constructed in each of the next two quarters. Starting with MacIntyre in Australia, we are currently in full turbine erection with 38 machines of 5.7 megawatts each completed as of June and in the process of increasing our current installation rate of 10 to 12 new turbines per month. Yesterday, we had 47 turbines or 270 megawatts already erected. In the U.S., in contrast with the disruption in modular PV supply that we had in 2022 aggravated in the past by the anti-circumvention issue, this year, the things are going very much better. Although we had at the beginning of the year some potential delays with one of our Chinese supplier, which was anticipating the problems within the U.S. border, today, we had been able to resolve well early in March, procuring more from our new Tier 1 manufacturer coming from India. Today, our module procurement plan for Red Tailed Hawk in the U.S. market has even accelerated by a couple of months, which means that we are receiving all the modules for the project. And if everything goes according to the plan, we could potentially even increase the planned installation at this site from the initial 150 megawatts in the year to 250 or 300 megawatts in this year 2023. In Spain, we are expecting to read the construction permits and local license imminently to working on the sites as soon as we can. In Peru, we are on track with our Marcona wind project. Looking at the big picture, we have a lot to do in the next 6 months, and there are obviously some challenges but also some upside opportunities. And we are really very confident that we will be able to reach the target of 1.8 gigawatts new capacity installed at the end of the year. This is at the top of my list. We are extremely focused on completing the plan for the year, and we have the capabilities to deliver and to maintain this new pace of growth going forward. Turning to the Slide #8. We have been very busy evaluating many projects in the last few months, approving more than 1 gigawatts of new capacity as well as rejecting or postponing opportunities in some markets that today were not matching our expected return targets. At February at the full year results presentation, we were showing to you 1.2 gigawatts of identified capacity addition for 2024, basically comprising the tail end of MacIntyre, the Red Tailed Hawk, the first part of the Aldora PV plant in Australia, a couple of wind projects in Australia as well as a bunch of new Spanish assets, which had, after a long wait, obtaining the environmental approval. As of today, the total fully secured capacity for 2024 stands at more than 1.7 gigawatts with the addition of 40-mile wind farm in Canada, 280 megawatts in the Phase I, another 160 megawatts of PV in Dominican Republic with very high PPAs, more than $90 megawatt hour of PPA, and some additional Spanish projects. We have included also in the chart, 413 megawatts PV project in India that we are securing in the next weeks, in which we'll add 125 megawatts extra in the 2024 construction schedule with the rest of the project delivered in 2025. We are also increasing fast visibility -- no, yes, the visibility of 2024. We are increasing the visibility of 2025. And we have already a very good idea of what projects we are going to build in 2025. In the slide, we show you the expected regional split. We are not showing you the names of the project as yet as some of the projects are in the internal process of getting the final investment decision. But they will be approved in the next few months, and they will start to fill the activity in the next years. That is including additional solar in the U.S. in the PGE market, potentially batteries and other battery storage in ERCOT in Texas and potentially some projects in the U.K. market. In India, I mentioned the large order project we are securing that will contribute both 2024 and mostly 2025 in terms of capacity. In South Africa, we are advancing with a view to contract and build 3 wind projects totaling around 325 megawatts and considering also a new battery projects for the next tender in South Africa next month. In Australia, we will complete the final 185 megawatts of the 433 megawatts Aldoga project. So we have additional good visibility of a couple of PV projects in Central America, adding more than 200 megawatts and same in Croatia with our project solar PV Promina with 183 megawatts. And in Iberia, we have a significant pipeline of solar projects, mostly hybrid, and we are considering only the most efficient for now or the best contracted. With all these projects, we have secured, as I said before, not just 100% of our capacity for 2024, but most of our new capacity to be installed in 2025. So we think we have today very high visibility of at least 1.8 gigawatts in 2024, and we can do without any doubt today another 2 gigawatts or more in 2025. With that, we will reach our IPO target of 200 gigawatts by the end of 2026, sometime in the early 2027 as the latest. We expect to reach and stay at the 1.8 gigawatt mark in 2023 and 2024, which is a well-balanced target for us. And then we will increase to a risk speed of around 2 gigawatts per year. We are living today in a world of plenty of opportunities for investment and higher power prices, but also with more uncertainty for permitting, for access with higher and more volatile CapEx and higher interest rates. Even the module prices -- the PV module prices are falling strongly. Today, each project has to be analyzed in its own merit. It has to fight its own case. There are not blanket green light for any particular region in the world. We can say that achieving the right returns is easier in some geographical areas: Australia, the U.S., Spanish for wind; Spain for hybrid PV. But in other markets, we may have to develop to be ready for the current moment. This is the case of Brazil today where we are waiting for the current moment or in some markets, we are postponing projects that we don't see today our required return. We can do that because we have a well-diversified pipeline and a well-diversified geographical presence in several markets and because we are not in the race to growth at any cost. We will grow in the future at unprecedented rates. We have the origination and the execution capacity for a run rate of 2 gigawatts or more per year, and we want to capitalize on our increasing momentum. But we will grow at the right pace at the speed that we can digest from a financial and a credit perspective point of view and always protecting our highly profitable existing business. We are, for example, considering some sizable development opportunities in battery storage or in utility scale floating offshore in the future that will significantly increase our capacity plans in the next few years. To accommodate the run rate of 2 gigawatts per year or more in our balance sheet, we will be open in the future when we need it or when our financial ratios demand it. That is not today. We will be open to alternatives, such as minority partnership, as well as selective rotation of mature assets if it would be the case and the opportunity. In the next slide, #10, and with respect to the outlook 2023, we have today half of the year behind us. The Renomar deal secured in the medium for power prices stabilized around 100-megawatt hour mark. In this context, our current EBITDA expectation for the full year is in the range of EUR 1.2 billion, EUR 1.3 billion based on Spanish prices of around EUR 100 per megawatt hour in consolidated output for the global fleet of around 22 terawatt hour this year, taking into account the low hydro output for the rest of the year. In June, in the past month, the unexpected and extraordinary review in the Spanish regulatory price assumptions, the change of parameters for the current 3-year period had a significant negative impact in our expectation. Nevertheless, it's just an accounting effect, not affecting cash, not affecting the value of the company. And we will recover in the future this positive accounting effect in 2026 in the year -- in the following years. The Renomar transaction is contributing both at the operating profit level and at the bottom line, on top of the capital range generated by the revaluation of the company as it becomes today fully consolidated in our accounts. All in all, this EBITDA that we are projecting for 2023 is still above the levels that we expected at the time of the IPO despite of lower output in the year and less investment in 2022. This EBITDA implies a significant growth relative to 2021 that was already a variable year if we look through the absolutely exceptional 2022. In terms of net investment cash flow, we expect to be close to the EUR 2 billion, and the net debt-to-EBITDA ratio will be around 2.5x.
e: Thank you very much, and let me hand the floor to Arantza to review the financial and operating performance during the first half of the year. Thank you.
e: Thank you very much, and let me hand the floor to Arantza to review the financial and operating performance during the first half of the year. Thank you.
Arantza Ezpeleta Puras: Good morning. Thank you, Rafael. Let me quickly run through the key financial and operating figures. Revenues fell by 20% to EUR 1,760 million as a result of lower prices in generation and supply activities. Generation revenues fell by 24%. EBITDA is down to EUR 686 million, falling by 25%, in line with revenues. Generation EBITDA in Spain is down, while international improves. Earnings before tax are flat at EUR 567 million despite decline in EBITDA and a slightly higher depreciation charges thanks to the Renomar revaluation financial charges that are not increasing significantly and the partial reversal of the power concerts that we mark to market through the P&L, which last year contributed a significantly negative result and this year is a positive contribution thanks to lower market prices. Net investment cash flow of EUR 1.5 billion is twice as high as in the previous year [indiscernible] the strong acceleration in our growth. Net debt increases by around EUR 1.5 billion to EUR 3.5 billion, reflecting the front-ended profile of our investment this year and the payment of the dividend. We expect net debt to be lower at year-end. With respect to the key operational figures in this slide, let me mention that consolidated capacity stood at 10.8 gigawatts, growing by 1.5 gigawatts, out of which almost 500 megawatts are related to the consolidation of Renomar. Consolidated output grew by 2% to 10.5 terawatt hours, while the average price fell by 26% to EUR 86.2 per megawatt hour, which explains the 24% decline in generation revenues. Availability improved to 95.8%, and contracted output stood at 77.3% for the period. With respect to the ESG metrics in Slide 13, on the social side, we report a large increase in staff due to integration in ACCIONA Energia of the ACCIONA Group renewable energy O&M services company, EROM, last year. We increased the number of women in managerial positions and decreased the accident frequency index. On environment, the alignment of our CapEx with the taxonomy stood out. Emissions increased due to the change in methodology for leased vehicles that go from a scope-3 to scope-1, and we will mitigate this later in the year by reducing the scope-2. Waste to landfill increased due to boiler cleaning waste and removal of contaminated soil. Zero used blades go to landfill, and we are working on a pilot to reuse blade materials. We have also increased the voluntary tree planting in a major way. On governance, on track to audit 100% of our critical suppliers by year-end. We approved a new ethics channel policy for the protection of those who report on regulatory violations and corruption. And finally, we published our unique impact financing framework, which is very innovative and introduces a local impact component to enhance both sustainability linked as well as green use of proceeds instruments. In Slide 14, you can find detail on the breakdown of the EUR 1.5 billion of total investment during the period with EUR 1.1 billion of gross CapEx concentrated in the U.S., Australia, the Americas and Spain and over EUR 400 million of net CapEx deferral. A significant part of it represents the payment in January for the Cunningham battery storage system agreed at the end of 2022 and disbursed in early January. In Slide 15, we show the cash flow for the period. Operating cash flow amounted to EUR 383 million with negative working capital reflecting, in part, that we paid back the excess regulatory income cast in during 2022 and which was provisional and dependent on the final government calculations which were published very late in the year. Financial results increased from EUR 40 million in the same period last year to EUR 52 million, reflecting higher net debt and higher average cost of debt. Net investment cash flow of EUR 1 billion has already discussed, and then the payment of the dividend for EUR 230 million. The acquisition of Renomar brought around EUR 100 million of project finance debt and EUR 161 million of cash to our perimeter. That takes debt before IFRS 16 to EUR 3 billion and to EUR 3.5 billion with IFRS. With respect to the debt position, I would highlight the higher average cost of debt during the period, which increases to 4.3%, with the cost of corporate debt at 3.35% and projected at 8.5%. Our cost of debt is gradually reflecting the higher base rates, which have increased by 250 to 300 basis points in the last 2 years or so even if the spreads are under control or even lower in terms of incremental financing. We have roughly 50% of our debt variable as we prefer to have a balanced position and not to lock in the current high rates for the long term with a view that as inflation pressures ease, at some stage, interest rates may correct. With respect to the average debt maturity, it has increased mainly as a result of the Australian dollar corporate facility device for MacIntyre project, which has a 16-year door-to-door term, which was possible thanks to the restructuring with Feste, the Spanish sport credit agency under its green policy. We issued our third benchmark green bond in euro at the end of April, a EUR 500 million 7-year bond with a coupon of 3.75%, implying 78 basis points over swaps. It was another very successful transaction on the back of our profile as pure-play renewable energy company with top ESG credential and investment-grade rating. We tend to trade and price tighter than similar rated companies. For your review, we include a summary of the Spanish power market dynamics in this slide, much lower prices than the previous years with the first half of 2023 at EUR 88/megawatt hour versus EUR 206/megawatt hour in the same period last year in a context of declining energy commodities of the peak. The blend of actual prices so far this year and forward suggests a price of close to EUR 100/megawatt hours for the year as a whole, and this has tended to stay relatively stable in recent months. And prices in the forward market in December are higher than the realized price in December 2022. Forwards for 2024 are around at the EUR 100/megawatt hours, and they have traded between EUR 90 to EUR 105 per megawatt hour for a few months now. Hydro reserves for the country remain below 5-year averages in another very dry year. In Slide 18, you can see the main driver for the Spanish generation business with revenues down 32% to EUR 569 million. Output is up by 3% to 5.1 terawatt hours with lower proportion of regulated given the very high prices in the last couple of years, which has been, in turn, contracted to maintain a highly visible profile. The average achieved price falls by 34% to EUR 112/megawatts, reflecting the lower wholesale prices uplifted with a significant benefit from the hedging carried out for the period and with limited impact from the regulatory drivers. The gas clawback during the period amounts to EUR 19 million, which is why the achieved price in the unhedged volumes for the period is EUR 7/megawatt hours rather than close to EUR 90/megawatt hours. In the next slide, the total EBITDA in the Spanish business declined by 38% to EUR 419 million relative to an exceptional first half in 2022 of EUR 676 million. Generation EBITDA fell by 36% to EUR 430 million with lower prices and some impact from the lower output when we exclude the new assets as well as the regulatory change we have already mentioned. The contribution from the new assets and Renomar in aggregate mitigates part of the effect of the lower prices. In Slide 20, you can find some statistics on the markets we operate as well as the evolution of commodities and the main exchange rates that affect us. I would note, the button of very high prices globally during the mid part of 2022 and how that has corrected following the path of energy commodities. With respect to the key drivers for international generation revenues, volumes are up by just 1.4% with another year of weak resource, more than compensated with the output from new assets. The average price falls by 8% to EUR 62/megawatt hour with prices declining in all markets except for Mexico, where we had high income from capacity payments. Generation revenues declined by 7% to EUR 334 million. Total international EBITDA grows by 14% despite the lower revenues thanks to lower repair and maintenance costs relative to the previous year and to the nonrecurrence of the impairment of the Mora power station at Portugal at the end of its feed-in tariff period, which reduced the equity accounted contribution at EBITDA level. And with that, let me hand back to the Chairman.
Jose Manuel Entrecanales: Okay. Thank you, Arantza. We're going to go on to the Q&A. We have a long list of questions, which we will be -- we will try to answer.
Q -Jose Manuel Entrecanales: [Interpreted] Okay. First question comes from Flora Trindade, Enrico Bartoli, Oscar Najar, [indiscernible], Mediobanca and Banco Santander. And reached the following large capacity additions expected in Spain in the coming years? What are your expectation regarding returns? And whether can detail the percentage of Spain on target additions until 2025. So Rafa, will you please take care of that question?
Rafael Mateo Alcala:
e:
Jose Manuel Entrecanales: Let me add that we are -- we remain to be very strict in our return expectations and our return policies. And all we do in Spain and elsewhere is abiding to the 200 -- north of 200 basis points margin. In Spain, we have approximately 5-point something WACC, 0.4, 0.3, I'm not sure exactly where. And all our projects unlevered and aftertax are -- we are returning above the 200 basis points, which should be 7.5, 7.6. So yes, we remain disciplined on that front. Do you want to add anything, Arantza?
Arantza Ezpeleta Puras: No, I think that's clear. Thank you.
Jose Manuel Entrecanales: I also like to add that I don't see -- we don't see the amount of new installations in PV going to the levels that [indiscernible] has projected, the national plan for energy and climate, because investors will, of course, as you are being sensitive to, are also sensitive to the possible impact on prices. So unless there is a new significant source of demand, which, by the way, I think, can be the case in the front of the hydrogen which, as you know, we are starting our plant in [indiscernible] with very interesting price expectations in terms of our cost of hydrogen. So we believe that actually can become a reality as a source of significant demand, which, of course, would offset what now seems to be somewhat excessive capacity installation contemplated in this national plan.
Jose Manuel Entrecanales: [Interpreted] So going on to question number two, which comes from Flora Trindade in CaixaBank, asks whether taking into account the acceleration of CapEx and doubts on the evolution of prices in Spain, will you consider asset rotation? Well, asset rotation will always be considered selectively and of course, when we exceed our balance sheet capacity. And by that, when -- I mean, when we exceed our investment-grade protection. So balance sheet capacity will be determined on investment-grade protection as a very strict rule. So if that were to happen, we would indeed consider asset rotation, but that's not predictable that doesn't look likely soon. We do -- we may selectively, as I say, consider streamlining some countries. So concentrating on strategic countries, and therefore, maybe rotating assets in regions where we don't see scalability and, of course, in any event where we see a very high price offer that also will be a consideration. Question number four comes from Enrico Bartoli in Mediobanca and says, how much was the impact in first half '23 EBITDA from provisions related to the new reference price in Spain for regulated assets. Any additional impact expected in second half of '23? Arantza?
Arantza Ezpeleta Puras: Yes. So as you can imagine, we are not happy at all with the change in the regulatory parameters halfway through the year. It is very difficult to plan, to budget, to communicate to the market when the regulatory review for the current semi period takes place in the middle of the year and not in December when it should have been done. The impact of this change in the adjustment is in the order of the EUR 200 million, which would have significantly offset the P&L impact of lower prices. This is, of course, as we have mentioned before, noncash [indiscernible]. It's just changing -- it just changes the timing when you receive the revenues coming from the regulation and does not have any impact on current or future market revenues or regulatory income. In general, and as per the other regulatory accounting effects, you know the Spanish regulation accounting system is quite complex, I will not enter into the details. But just to mention that on the basis of the power prices estimates for 2023 today, the changes -- and the changes in the perimeter, the result of the regulatory assessment has ended up being relatively neutral.
Jose Manuel Entrecanales: [Interpreted] Thank you, Arantza. Question number five comes from Fernando Lafuente at Alantra. And it says, "Have you considered a share buyback program given the trading of the stock, which is not far from the IPO? Let me answer that. Yes, indeed, we are seriously considering this possibility. There's, obviously, a very clear arbitration in terms of the fact that our megawatt in terms of the stock -- of stock buybacks would be valued at around probably below EUR 1 million when, as you all know, there has been transactions in the Spanish market very recently at EUR 1.8 million. So it's possibly the cheapest megawatt we can invest in is our own through share buyback. We do, of course, take into consideration the liquidity factor, the commitment to the rating agencies to maintain the rating -- the investment-grade ratings and our investment capacity in greenfield megawatts, which is what we do for a living. But yes, indeed, it is a consideration taking very serious thought. Question number six, regulated generation volumes hedging. Why you still -- why do you still consider Spanish-regulated output within hedge PPA given the strong volatility of results and cash flows recently? Would you change your hedging/regulated policy in this part of the output? I'm not 100% sure of the nature of the question. But I think what it intends to say, Arantza, is that why would we consider regulated assets as within our hedge to a PPA given the changes in the parameters and the volatility that creates. That, I think, is what [indiscernible]?
Arantza Ezpeleta Puras: Yes. I think I understand the question the same way. And I mean we still think that regulated Spanish output should be considered contracted. It is true that given the volatility of the prices in recent years, especially last year, that this was a very exceptional moment. There are like huge changes in the P&L, but we still think that the regulated Spanish output should be considered as contracted, no matter where. It works as regulated. It gives us a floor. So -- and very predictable cash flows despite this very specific and special -- extraordinary volatility environment.
Jose Manuel Entrecanales: Yes. And prices are around the 80- to 90-megawatt hour in this -- under the circumstances. So we believe it should be considered as regulated.
Arantza Ezpeleta Puras: Yes.
Jose Manuel Entrecanales: [Interpreted] Question number 7, on Chile and Australia. Lower prices -- sorry, Oscar Najar -- sorry, I forgot to say that the former question on generation volumes and hedging was from Fernando Garcia at Royal Bank of Canada. The next question comes from Oscar Najar at Santander and Enrico Bartoli at Mediobanca. Chile and Australia, lower prices than in first half '22. What is the situation in these 2 countries? What can we expect in the coming years? And what may the solution be for Chile? Rafa?
Rafael Mateo Alcala: Okay. Yes. In Australia, we had a very high last -- prices in the last year due to the gas prices at very record levels due to the context of the Ukrainian war. Today, the prices are more normalized, especially for wind. And today, in Australia, we are offering wind profile PPAs at the level of close to AUD 200/megawatt hour. So prices are being normalized, especially for wind in a very high level. Going to Chile. Chile is living, as you know, a very complex situation, especially in the past year. Better situation in 2023 given the [indiscernible] congestion in the -- between the north and the center of the country, especially because the delay in the promised investment in new transmission lines from the government and the excess of solar capacity in the north saturating the nodes. In the northern situation was even worsed in 2022 -- in the beginning of 2023 because the high prices of the asset because of the war. Today, the government is, knowing very well the situation, is working on the approval of the new law, the second time renewables law, that is going to modify the prices -- split the prices in between the different actors. The law is going to be approved at the beginning of 2024, and the situation will be mitigated and normalized in the future.
Jose Manuel Entrecanales: Australia, Yes. And let me add that the law is already going to parliament. So it's a tangible promise by the government. [Interpreted] On question #8, Spain normalized output. What would be the normal output in a fiscal year basis with the current assets in Spain in a normalized situation for hydro and wind? And that comes from Santander, from Oscar Najar. Rafa?
Rafael Mateo Alcala: Yes, on the basis of existing capacity today in Spain and with the contribution from Renomar with the hydro that we have today, the total output is around 11.5 terawatt-hour per year. This is the annual output [ perspective ].
Jose Manuel Entrecanales: [Interpreted] Thank you. Question number nine from Roberto Ranieri at Stifel. Can you give an update on the progress of the MacIntyre project in Australia? Why don't you [indiscernible], the Head of Project Construction, take that question? [indiscernible]
Unidentified Company Participant:
e:
Jose Manuel Entrecanales: [Interpreted] Question number 10, also from Roberto Ranieri at Stifel. Do you see grid connection as an issue for capacity development and operations? What are the main issues on capacity development in general? Rafa, why don't you take that one?
Rafael Mateo Alcala: Yes. It depends on the market. The connection is obviously -- could be a bottleneck for the expansion in new capacity. It depends on the market. In the case of Chile, as I said before, that is a big issue with the grid connection. It's not the case in Spain, not yet because the grid is very robust. But we are seeing the different issues that are affecting the capacity of development. The permitting could be an issue, especially because the permitting is being delayed because of lack of staff in the different government bodies in order to approve the environmental permits. Or even the social acceptance or the local acceptance could be an issue in some projects. This is not affecting to us in our development because we have -- we are also having a very early good approach to the new territories where we are going to install our projects as a new neighbor in the area and with long-term build of our stay there in order to improve the social and economical conditions of the area, adding the social acceptance from the beginning of the project. But this grid permitting and social acceptance could be an issue in order to delay the capacity addition.
Jose Manuel Entrecanales: Well, let me add, however, that our capacity additions have -- our projected capacity additions have contemplated that problem. And of course, we are assuming in the short run. In the long run, we don't know whether that is going to be -- the process -- the political process in Europe is to improve on that fact. So there is new legislation being issued to facilitate the permitting process. We still have to see what the result of that legislation is. [Interpreted] Question number 11 from JBCM, Jorge Guimaraes. Why the working capital consumption in ACCIONA Energia in first half '23?
Arantza Ezpeleta Puras: Yes. So approximately, we have EUR 200 million of outflow, of which almost half of it, as I was mentioning in the presentation, is related to paying back to the system the excess regulatory income that we have last year. You may recall that the regulatory income was cut last year given the high prices that were seen in the market. But the final resolution didn't come until late in the year. So we collected, so to speak, more than it was due, and we had to pay back. And that is related to do that, and the rest is just the normal course of business movements. And we expect towards the full year to have -- to improve the working capital figures compared to the ones in at this point.
Jose Manuel Entrecanales: [Interpreted] Thank you, Arantza. Next question from Fernando Lafuente at Alantra is on Renomar contribution in second half.
Arantza Ezpeleta Puras: Yes. So it could add another EUR 40 million to EUR 50 million of EBITDA in the second half relatively to what we would have had on an equity accounted basis, which would be around EUR 15 million to EUR 20 million of the -- in the second half of the year. I don't know if I should add into the details. I think that's what we should be getting compared to the equity accounted.
Jose Manuel Entrecanales: Yes, we haven't got much time. So I think if Fernando wants more detail, we can...
Arantza Ezpeleta Puras: Yes, we can just explain more in detail. Okay.
Jose Manuel Entrecanales:
e:
Jose Angel Tejero: The answer is we're allocating significant resources to both initiatives. On green hydrogen specifically, those resources are dedicated to two joint ventures that we launched at the one two years ago, which is the joint venture with Plug Power, which has been making good progress; and another which we announced at the beginning of 2023, which is a joint venture with Nordex called [indiscernible] Green Hydrogen. In ACCIONA Plug, the joint venture with Plug Power, we have built a significant pipeline of over 300 megawatts of electrolysis in Spain and Portugal, and that is progressing well with 1 project moving ahead at a good pace, which is a project in Navara of 25 megawatts, which we expect to reach COD on in early 2025. And it's a project that we, as was mentioned previously, we think we can achieve reasonable levels of competitiveness even without subsidies. On the ACCIONA Nordex joint venture, that is an effort or an entity that seeks to develop large-scale, off-grid projects in different parts of the world with the -- in areas with exceptionally high renewable resources with the objective of reaching the lowest possible levelized cost of hydrogen. We are making good progress in a number of places, particularly in -- with projects in Chile, in the U.S. and in Morocco, and with a significant interest or early interest from both partners and potential off takers. So positive developments in both. Regarding EV charging, we are convinced that the electrification of transport will happen. Our efforts are focused mostly in Spain up to date. The electrification needs to accelerate significantly to reach the objectives set in the national energy plan to reach the 5 million EVs that need to be on our roads by 2030. So we are convinced that this is a growing industry and one that will -- already represents a good opportunity. We're investing still relatively modest amounts in 2023, around EUR 15 million. But we expect that to grow significantly, and we're starting to look at opportunities to internationalize that business and grow in other countries where we have an existing footprint.
Jose Manuel Entrecanales: [Interpreted] Thank you. And final question and to finish on time is from Alberto Gandolfi at Goldman, who says -- who asks with some degree of skepticism, I believe, how can you end at 2.5x net debt to EBITDA if in first half you are at EUR 3.5 billion. And if it is because CapEx is H2 in the second half -- is lower in the second half, how can you head towards 1.7 to 2 gigawatts annual additions if you CapEx is slowing down. Arantza?
Arantza Ezpeleta Puras: Well, first, you have to consider, and we have been mentioned it through the presentation, that some of the CapEx payments are front-loaded. And also, you have to consider that we have also the dividend payment. Second, we expect significant proceeds from the tax equity investors and partners on the second half of the year. And also remember that I just mentioned that we also are expecting to have improvements in the working capital. That's why we will reach to that figure.
Jose Manuel Entrecanales: And let me reiterate that CapEx is not slowing down. It may just be lower in the second half than in the first half, but it doesn't mean by any means that it is slowing down. Thank you very much indeed. And that's it for ACCIONA Energia. We will, in a couple of minutes, start the ACCIONA Group presentation and Q&A. Thank you. Hello again, good morning and welcome to the Acciona Group first half results presentation for all those who weren't in the NFIA presentation. Let me start by stating that our strategy based on de-carbonization of infrastructures and services is gaining momentum and recognition what was originally a matter of business ethics and has developed into Acciona's most valuable competitive advantage.  We have become the main reference in sustainable infrastructure solutions, with 99% of our investments aligned with the European taxonomy of sustainable activities. We do not believe there is another company with presence in nine different sectors energy infrastructures, water mobility, wind turbine manufacturing, waste treatment and other environmental services, real estate development and asset management.  Those are the nine which is so holistically aligned with the European taxonomy and the SDGs. After 20 years of effort. I believe we can now safely say we are the world's most genuine sustainable infrastructure solution provider fundamentally to the SDG number six which is clean water SDG number seven which is clean energy SDG number nine which is infrastructure and SDG number eleven which is sustainable cities, all SDGs, all sustainable development goals which are infrastructure related. This strategic focus, while in the past some may have found idealistic, romantic or even business unfriendly, has become Acciona’s most differential asset, our most talent attracting figure and our greatest source of new business opportunities.  Our solid balance sheet is based on the stability of the revenues of our renewable energy assets and our growing concessions portfolio for which we are projecting rapid growth in the coming years. We are leading the investment in activities that are driving the new decarbonized economic model. In the first half of 2023, we accelerated our investment plans, reaching a record figure of EUR 2.2 billion, the equivalent of what we invested in all of 2022 81% more than in first half of 2022, that is in 2023 81% more than in 2022 70% of this investment was focused on our energy business.  But another key growth driver often underweighted by the market comes from our infrastructure business which I will refer later in an area just highlighting. What we have presented in the Acciona Energia presentation just last hour; while EBITDA was down 25% versus 2022, mostly because of another ultimately untimely regulatory change in Spain and 6% reduction in generation prices. Still, our financial performance significantly exceeds what we and the market projected at the time of the IPO two years ago excuse me just 1 second and our capEx of one and a half billion double that of 2022.  And we are on track to deliver 1.8 gigawatts of installed capacity in 2023, an equivalent amount in 2024 and two gigawatts going forward based on organic growth, hence improvable. With M&A, we have signed around eight terawatt hours of new PPAs in the last couple of years, and by the end of this year we will have added three gigawatts of total capacity since our listing.  In terms of our IPO 20 gigawatts target, we are catching up with a twelve to 18 month delay asked a few weeks ago resulting from post COVID supply chain problems, we are now confident we can at least maintain. A similar growth rate in the coming years, while maintaining our risk return discipline and balance sheet strength. All in all, over the last two years, Acciona Energia is delivering returns well above our IPO expectations EUR 600 million above more than what the EBITDA projected in the IPO, and has invested EUR 3 billion while only increasing net financial debt by EUR 1.1 billion, thus protecting our credit rating.  As for future growth, we have significantly strengthened our presence in our core markets Australia, North America and Europe and have opened seven new markets, seven new countries Vietnam, Philippines and Thailand in Southeast Asia, Brazil, Peru and the Dominican Republic in LATAM. And our energy efficient business in France. Our geographical base for future growth has never been better, and we are also positioning ourselves in additional emerging technologies such as batteries, green hydrogen or offshore floating.  I fear there may be some degree of disconnection between the reality of our company and market perception, and I'm convinced we will soon bridge as we continue to deliver healthy growth despite strong stock market pessimism with higher interest rates, higher capEx and energy prices past their peak.  We believe the general context is highly favorable, as the ambition of the climate agenda and de-carbonization through electrification is going exponential. As for infrastructures, our infrastructure business has experienced a very healthy first half with simultaneous growth in revenues, which is up 37% growth in EBITDA margin by 14%, going from 5.6% to 6.4%, and also in backlog now at a historic record of €46 billion. Unprecedented global infrastructure investment plans present a historic opportunity that we are seizing through five key strategic lines of action focused on risk mitigation and margin improvement. Number one would be selective, a very selective approach to our regional footprint.  Mainly, we focus on OECD countries with substantial investment plans so that there is scalability and, of course, a legal and reliable legal framework. That would be Europe, North America, Brazil and other stable Latin American countries. And the Philippines, Australia and exceptionally water contracts in Hong Kong and the Gulf countries. Number two would be risk mitigation strategies via new contractual models such as alliance collaborative contracts and selective approach to clients and project profiles. We try to favor technically complex contracts with fewer competitors and lower clients price sensitivity. Number three would be a focus on concessions. Our global footprint provides us with a wide range of greenfield investment opportunities.  More than EUR 1.8 billion investment over the next five years in equity has already been committed and we follow plain vanilla strategy based on Greenfield to Brownfield de-risking margin compression and asset rotation. In the concession side, then number four would be technical excellence to compete in technically complex sustainable infrastructure projects mainly through digitalization of processes, very strong design and engineering and other in house capability and enhancement of our attractiveness as employer of choice for Stem talent.  And finally, number five would be a differentiated approach to social and environmental positive impact which I was mentioning that initially could have been a romantic element is now becoming an incredibly powerful commercial tool and we make it a reality through sophisticated, innovative emission reduction, generative regenerative and positive social impact programs.  A few good examples this approach over the last six months would be, for example, the consolidation of our transmission line credentials in two major contracts in Australia and Latin America. The growth in the water sector by 9% in the first half of '23 over '22 both in EPC and service revenues with key contracts signed in Italy and the Philippines and the very important strategic opportunities under negotiations in Brazil and Mina and Middle East and North Africa and Australia. Here another example could be the consolidation as the first non domestic contractor in the Philippines and the development of urban services with the start of operations in the Ness project in the Waste To energy plant in the UK and various other contracts in Spain.  Summarizing, our growing recognition as leading provider of climate resilient, environmentally positive and socially regenerative infrastructures is driving our business to unprecedented growth and significantly improved risk return equation. Let me jump on to Nordics where our 47.8 stake entails from now on global consolidation here megatrends have significantly improved its growth prospects for the next decades. European net zero US IRA or Australian de-carbonization plans among many other plans around the world. Decarbonization plans around the world but these being the key in our key markets the most importantly key markets say together with green hydrogen demand, policy momentum and improved pricing pressure are driving the wind turbine industry towards an undoubtedly brighter future. COVID related supply chain raw materials and logistic headwinds are now turning around. And Nordics is uniquely positioned to benefit from the energy transition, as it is the fastest growing onshore wind turbine OEM outside China there.  And, of course, the third global player and number two in the European market. Its highly competitive cost of energy optimized product portfolio, its strong order intake momentum together with the industry wide tailwinds make us confident of its future performance.  Going to our asset management business, Vestimber, the company has reached the EUR 6 billion of assets under management with a 15% increase over 2022. It has been so far a very good year for our traditional equity funds in terms of returns and growth and all those returns are high, double digit and performing better than our benchmarks and most of the competition. This of course should lead to significant improvements in net inflows in the coming months. There's also can progress in alternative funds having reached our first infrastructure fund capital raise target of EUR 300 million with 90% already investment invested in a portfolio of nine high quality diversified infrastructure assets.  Similarly, we will soon be launching a first real estate investment vehicle and we have reached an agreement with BlackRock by which a new best BlackRock private equity fund will have privileged conditions to invest in BlackRock private equity funds ecosystem.  In summary, a very good returns in our traditional products and and progress in our product broadening strategy leveraging on Acciona's know how footprint and investment opportunities in real estate and infrastructure and on blackrocks in BlackRock in private equity. As for real estate, again, sustainability attributes are differentiation based or build to rent, build to sell iconic buildings or residential products in Spain, Portugal, Poland and Mexico. It is worth noting that we certify 100% of our residential products with 80% reaching maximum ratings and that our office building ratings are among the world's highest scores in lead or well certificates.  In particular, within our circularity recovery and transformation of iconic buildings strategy, it is worth noting our recently inaugurated headquarters in Madrid, from where I'm speaking originally Banesto's headquarters in 1956 Banesto headquarters turned into possibly one of Europe's most sustainable, active and employee friendly in town campuses.  From a financial point of view, our real estate division is still in the build up phase, but we are very confident that substantial P L contribution adding to a consistently yearly growth in NAV. Will soon be visible as for mobility, in an attempt to go beyond our conventional boundaries in profitably contributing to and profitably contributing to sustainability, we continue to make progress in electric mobility.  Under the Silence brand, we manufacture and sell 18% of Europe's electric motorcycles over 14,000 projected sales in 2023 and are gearing up for their commercial launch of our microcar Silent Four So Four at the end of this year. Its convenient size, its price and its Extractable exchangeable battery pack make it a uniquely practical, versatile, economically accessible and environmentally friendly vehicle urban. We also see promising opportunities in the second life battery cycle as a competitive balance to renewable generation peaking and through the recent acquisition of Solideo, the energy efficiency company playing also an important role in the growing market of solar communities in Spain.  Through the silence home battery to finish. As you can see, we have what appears to be another strong year ahead of us while continuing to lay the basis for solid long term growth with a combination of mature and emerging lines of business aligned around the sustainability as has been recognized by all major global sustainability and ESG indexes.  Thank you for your attention. I now give the floor to Jose Angel Tejero, our CFSO, for further detail and we will take questions after that. 
Jose Angel Tejero: Thank you. Thank you. Good morning to everyone. We'll make a short review of Acciona financial results in the first half of the year, starting with the key financial highlights.  Revenues grew by 7% and EBITDA fell by 13% as a result of 25% fall in the energy and 47% increase in the non energy businesses. A very solid growth driven by infrastructure. The VDA of energy reflects the partial normalization of power prices in Spain, also affected by the impact of change of the remuneration parameters applicable in Spain in the 23 25 regulatory period.  However, achieved prices are still relatively high compared to historical levels. These results include the full consolidation of Nordex since April 1 after having reached 47.1% of its share capital. Nordex has contributed EUR 1.5 billion of revenues and has reached breakeven point at the BDA level. In the second quarter of '23, profits before taxes reached EUR 691 million and attributable net profits reached EUR 467,000,132% increase versus the same period of last year.  Excluding the impact of the change in north consolidation method, attributable to net profit would have been EUR 206 million, a 2% growth versus the first half of 2022. We have invested EUR 2.2 billion in the first six months of 23, 81% more than the first half of '22 and net financial debt at the end of June stands at EUR 7 billion versus EUR 5.2 billion at December 22. The following slide you can find the ESG highlights and key environmental and social performance metrics. Firstly, it's important to highlight that at this moment, Nordic's Data is not integrated in this semester due to both companies are using different measurement methodologies the.  However, we expect that by the end of the fiscal year, the financial information models will be fully integrated, allowing us to provide consolidating ESG indicators for the group. Moving on to Acciona's Nordex in the social aspect, it is worth noting that the increase in staff has been utilized to significantly improve gender representation, particularly in managerial positions. We have managed to increase the gender quota by 1.3 percentage points, a notable achievement in a workforce of nearly 50,000 people.  Shifting Focus to Environmental Data as our CEO has already highlighted, we have achieved almost complete alignment to eligible investment with the taxonomy. While there might be a slight decrease in this figure during the second semester, we are confident it will remain well above our strategic alignment target of 90% as not worth the milestones. For this semester, we established an ESDE budget enabling key projects to proactively track important sustainable management variables. Additionally, we have adopted a new sustainable and impact financing framework recognized as the one of the most advanced and distinctive in the market for green financing.  Going to the next slide debt Debt Evolution you can see that the main cash flow items that explain the evolution of debt debt in the first six months of the year. The most important moving part has been the EUR 2.2 net investment already mentioned. Working capital outflow of EUR 459million in the first half year includes 207 working capital consumption of Acciona Energia of which almost half is related to paying back to the system the excess regulated income we collected last year the 252,000,000 in rest of the group consistent in the usual seasonality and growth achieved by the non energy businesses revenues.  As a result, we finished the first half of 2022 with EUR 7,066 million of net debt. It is important to highlight that almost 50% of the total net debt corresponds to debt associated to work in progress related to renewable assets that have been under construction right now and will be EBITDA contributors once they are finished.  In the next slide we can see the investment by division and we provide here the details. Aside from the 1.5 invested in Acciona Energias, we have invested EUR 116 million in infrastructure, EUR 302 million in Nordex and EUR 103 million in other activities, and EUR 136 million in property development, which include Lands acquisition of EUR 54 million. The EUR 302 million invested in Nordics includes EUR 272 million shareholder loan granted by Acciona Nordex that has been converted afterward in equity. The rest of it is Nordex owned Capex. Going to the next slide we provide some outlook for the rest of the year. Our current EBITDA expectation for the full year is a range of 1.2 and 1.3 in Acciona Energias, still above the levels we expected at the time of IPO and unchanged solid double digit growth in the rest of the activities, with a positive contribution for Nordex at the VDA level. In terms of net investment cash flow, we expect to invest around 13.1 of Consolidated Capex, of which EUR 2 billion will be invested in energy and the remaining EUR 1.1 billion in the rest of the group. The expectation includes Nordex own estimated Capex of around 170 between April and December.  We expect profit before tax to grow strong double digit with a positive contribution for Nordics. And going forward to the next slide, we go to the operating results of the different business and in energy. Given that it just presented the first half results in full detail and that the CEO has already given you some of the most important figures of the business, I'm not going to go through the specific slides, just if you can go straight to infrastructure.  Moving to Infrastructure Given that the CEO also has already presented the main Fresh House figure, I will go straight to more details of the different businesses going into construction. The performance of the construction activity first semester of 2023 have performed very positively both in terms of revenues and EBITDA. Sales reached 2920 5 million, up 46%, driven by the good performance of the company main countries. Main projects in Australia and Brazil, which remain the main countries for the construction business, EBITDA rose to EUR 148 million, up 75% compared to the first half of 2022.  It is worth noting that the significant increase in margins achieved from 4.2 in the first half of 2022% to 5% in the current year. The this improvement in EBITDA margin is based on the growth in international activities and in the good pace of execution of capital intensive projects. In this way, works have started in Sydney Western Harbor Tunnel, the largest contract in our backlog, while Sao Paulo, the Line Six project, another major contract, is progressing well if we go into concession.  The next slide concession business also performed well in the first half of 2023, with a BDA growing significantly to EUR 31 million, which is 110% higher than the same amount, the same period of 2022. The VDA growth was driven by the good progress of the Sao Paulo Metro Line Six project in Brazil, which is already 32% complete.  The first half of 2023 also saw our consolidation of the transmission lines market, where we have been selected as first ranked proponent for the Central Western project I have just mentioned. The contract includes the design, construction, operation and maintenance of 250 lines, including superstition for 31 years. The total investment in the project is expected to be EUR 7.2 billion Australian dollars. Acciona has 50% stake in the construction consortium and 36% stake in the concessionaire. In addition, this week we have announced.  The award of our second concession project in the US. A contract to design, build, finance and operate and maintain the new Calcasio River Bridge for 50 years. Part of the Interstate I Ten highway in Louisiana, the $ 2.1 billion project will include the replacement of an existing bridge which is more than 70 years old. The project construction will be executed by joint venture between Acciona and Safir, while Acciona will have 30% of the concession. These projects are good examples of the capabilities and synergies of our businesses which allow us to deal with large contracts.  Including them, we have $1.8 billion investment already committed in our current portfolio of concessions going into water rapidly. In the next slide you will have the details of the performance of the water business, which has obtained 610,000,000 in revenues and a growth of 8.8% compared to the first half of '22 and EUR 45 million of FDA and going over the next slide into Nordex performance.  H1 results have already been public as the company published yesterday these results and held a conference call explaining them. So I will go very briefly over the main magnitudes. Nordic Results has shown a very relevant improvement in the second quarter of the year versus the first one with a 12.2 gross margin and breakeven at the BDA level.  Management has explained we expect the further margins improvement sequentially each quarter with overall further improvement in the second half of the year. Yesterday, Nordex management reiterated its guidance for '23 and mid-year midterm strategic margin target of 8% margin confirmed. Going to the other activities of the group one by one. In property development, the results in the first half has been affected by the seasonality of the business. With only 24 units delivered, we expect to deliver around 8800 units in the whole year, and 95% of them will be concentrated.  In the last quarter, the gross asset value has increased 12%, versus 2022 to more than EUR 1.7 billion. With regards to Vesting Bear, the results reflect the lower average assets under management and the discontinuation of the Italian subsidiary.  However, in the first six months of the year, the total funds under management have increased by more than 10% to EUR 5.6 billion as of the end of June, which is more or less EUR 6 billion as of today, with a 17% year to date positive performance of the three largest traditional equity and fixed income funds.  Lastly, the number of electric vehicles sold by Silence in the first half of the year has been 9% lower than the same period of last year. Consistent with the global decrease of the electric mobility sector in Europe, we manufacture and sell 18% of Europe's electric motorcycle and with the commercial launch of Microcar Silence Four at the end of this year, we expect to sell over 14,000 units in 2023.  And thank you for your attention. Let me hand the floor back to Entrecanales
Jose Manuel Entrecanales: Okay, thank you. Let's start with Q&A. 
Jose Manuel Entrecanales: [Interpreted] And the first question would be from Ferrando Garcia at the Royal Bank of Canada and Jvcm. Porteris.  What is our strategy with Nordex going forward?
Jose Manuel Entrecanales: Keeping our stake at this level or increasing and decreasing, our strategy is to stay at this level. Basically. I do not expect to move our position from the present level. 
Jose Manuel Entrecanales: [Interpreted] There's also a question from I'm not sure from who it is, but on working capital cycle for Nordics and the fact that it's a different working capital cycle than the construction and how do we manage that different cycle in working capital? 
Jose Manuel Entrecanales: I think the answer to that is the Nordics has its own financing strategy, its own financing capacity, which is at this stage very healthy. And we do not need to participate in Acciona. We do not foresee the need to participate from the side of shareholder Acciona in any further financial support.  At this stage things look very positive from the Nordex balance sheet position.
Jose Manuel Entrecanales: [Interpreted] Then question number two comes from Fernando athia Derby RBC now net debt stands at EUR 7 billion. Could you provide details of Acciona capital structure strategy?  I'll pass it on to Jose if he wants to add anything. But let me just state as. This can be a very ample, very wide answer, but let me give you the very short answer, which is maintaining investment grade is the utmost objective, and that will guide all the capital structure strategy.  Do you want to add anything? 
Jose Angel Tejero: I think that the only thing that day is that net debt our expectation is that net debt stays more or less flat from here to the end of the year with more of that debt that is associated to assets that are under construction, passing into assets that are already into operation, and provided additional comfort and coverage to the interest, charge and data as a whole. 
Jose Manuel Entrecanales: [Interpreted] Question number three from Fernando Garcia. Could you provide details on the 459 negative working capital at a general level. What do you expect for the rest of the year?
Jose Angel Tejero: I think that I made a mention in my speech, but basically the 459, 207 corresponds to energy. And in the energy presentation, they have made the projection that this will be coming down in the second half of the year. The rest of this is 222 infra and 33 for the rest of the group. And this figure reflects the usual seasonality. The working capital that we expect for the rest of the '23 year will be around 200 as a whole. That. We expect the energy brings that 270 to around 50 million, and the rest of the good will contribute around EUR 50 million. 
Jose Manuel Entrecanales: [Interpreted] Thank you. Number four, [indiscernible] from Flora Tridade and Jose Ritz from Barclays. Do you expect to see margins in construction to remain at this level going forward? The very short answer is yes, indeed.  But let me pass on the floor to Luis Castilla, our CEO in Infrastructures, to give you a little more color on the answer of the question.
Luis Castilla : Thank you. Yes, we expect to maintain a minimum of 5% of EBITDA in our business. This is coming from the good quality of the portfolio of the new awards that we have received, and in particular, from the increase on the collaborative projects that we are enjoying, in particular in our first construction market in Australia, where we have more than 60% of these collaborative projects. 
Jose Manuel Entrecanales: Yeah. Let me add that that high quality portfolio order backlog and the much improved risk profile of the contracts is a result of in general, is a result of very high demand in this industry with very significant investment programs around the world and very important needs, social and environmental infrastructure needs that are, of course, pulling from the demand side. So giving the supply side that is ourselves, particularly in companies with a very high technical profile, such as Acciona, giving us a great opportunity to be very selective in terms of clients, market, type of contracts, type of projects, et cetera, et cetera. So that is resulting in a very healthy, very healthy backlog, a very large backlog, but still a very selective one.
Jose Manuel Entrecanales: Question number five on the property development from Flora Trindade at Cachabank. Considering the weak first half results in real estate, do you maintain the 800 units for the year? 
Arantza Ezpeleta Puras: Thank you. Jose manuel. Yes. The answer is yes. We maintain the target of delivering around 800 units this year. The first half results have been affected by the seasonality only delivering 24 units. But you have to bear in mind that according to our calendar of deliveries, 95% of the total units of the year are going to be delivered in the last part in the fourth quarter, actually. And almost 100% of them are already presold, as is seen in our backlog of pre-solds, which is more than 1700 units. 
Jose Manuel Entrecanales: But, Andres, maybe you want to add something about this or give some color on 2024 and 2025 expectations. Andres Pan is the CEO of Acciona, Real Estate Unit.
Andres Pan: Thank you. I understand perfectly the question. Because of the seasonality of our business, we have achieved 800 deliveries, but 95% are concentrated in Q4, 45% are domestic, 55% international. Out of those, 97% of the domestic is already sold and 100% of the international deliveries are already sold. Concerning next years, in '24, we expect a number of deliveries close to 1000 units. Out of those, 71% are already sold. And from 2025 onwards, the number of deliveries will be close to 1500 units.
Jose Manuel Entrecanales: [Interpreted] you, Andres. Question number six from Keshavank Flora Trindade. Can you provide us with numbers on invested capital in the mobility segment and the concessions? Jose, please push your button.
Jose Angel Tejero: I'm sorry. Yeah. The capital invested that we have in the mobility segment, including, of course, silence, is EUR 145 million so far, going into concessions, what we have is invested so far, as of June, EUR 186 million. But let me add also that we have in water concessions an additional EUR148 million. Obviously, this does not take into account that we have an additional 1.8 billion in US dollars commitments from now till 2028. Also, for this year, just to give you a little bit of light, the additional investment that we plan to do is in concession is mainly line six and La Serena Hospital. And we to do an additional EUR 70 million. 
Jose Manuel Entrecanales: Let me stress that, as I've said, in the next years, we have already committed I think it's EUR 1.8 billion. In equity infusions in our concession business, which should be a strong improvement, strong growth in that side of the business.  [Interpreted] Question number seven. Do you see this is from Barclays. Jose Riz. Do you see any sign in improvement in second half EBITDA? A second in EBITDA for Westinberg. I think Enrique Perez, CEO of Bestinver, is here, so please take that. 
Enrique Perez : Okay. The answer is yes, we do and we do, considering good performance of our equity and fixing so repeat, please. Yes, sorry. Yes, we do and we do considering, first of all, the good performance of our equity and fixed income funds year to date.  Second. The increase in AUMs. As you said, we are very close now to EUR 6 billion and especially the increase in average AUMs in the first half of this year. We have been very penalized for that. Third, the contribution of the new alternative vehicles that we will launch from September, such as the real estate and the private equity.  And finally, we expect a better contribution from our investment bank business in the coming months and in 2024. Thank you.
Jose Manuel Entrecanales: [Interpreted] Thank you, Enrique. Question from Jose Rita, Barclays. Do you plan any disposal to reduce net debt? 
Jose Manuel Entrecanales: No, not in the short run. As I have said, the guiding principle in our capital structure I e in our debt to equity or debt to EBITDA ratio is the. Rating, the investment grade rating. And that doesn't seem to be at all at any risk at this stage.  So no sale of assets will be done for that purpose. Selling and rotation of assets may be done for other purposes or for other reasons, such as in maybe a very high price being offered for a product, which of course for an asset, which of course will mean that we may consider it.  But for debt reduction or leverage reduction purposes, we do not intend to sell any assets because the position is comfortable at the present stage and going forward.
Jose Manuel Entrecanales: [Interpreted] And question number nine is from Arantra Ferrando la Fuente activity has been strong in construction with raw revenues growing 46%.  What do you expect for second half and for 2024?
Jose Manuel Entrecanales: We expect continuity in the second half as for the first half. And we expect to be at around the same level. So we're 30% compared to last year. Although this percentage wise, last beginning of last year was as low, was only starting pick up because of the supply chain problems and all the problems that, you know, and market tensions.  So the comparison to last year is higher on the first half than it will be on the second half. However, the rhythm in construction continues stable. And from the point of view of the coming years, we do expect double digit 10% and over growth in revenues in the coming few years. What we can foresee with the current backlog. So that is the end of the questions. So thank you very much indeed and we'll see you at the end of the year, if not earlier, for any questions or clarifications that you may require. 
Jose Manuel Entrecanales: Thank you very much.